Conversation:
Katarina Rautenberg: Good morning, and welcome to the presentation of Investment AB Latour's year-end report for 2025. [Operator Instructions] With that, I hand over to CEO, Johan Hjertonsson; and CFO, Mikael Johnsson Albrektsson.
Johan Hjertonsson: Thank you very much, Katarina. Welcome, everybody. I'm here together with Mikael. Today, the presentation will be divided into 2 sections. The first part is the usual one with we've always done. We'll walk through the Latour Group's development in Q4 and the full year. And we will be commenting on the development of the investment portfolio and the wholly owned operations. And then we will open up for questions. Then we have a new thing, a second part, where this time, we will make a deep dive into Latour Industries, which is 1 of our 7 wholly owned operations. We will then later rotate our 7 wholly owned operations on the quarterly report. So you will meet more colleagues later on. But today, we're inviting Tina Hultkvist, who is the CEO of Latour Industries for this section. And finally, we will have -- after Tina's presentation, we will have a Q&A session together on the Latour Industries. So thus, 2 Q&A sessions today. Good. Let's go into the Latour Group key highlights. We finished the year on a very positive note, delivering a record quarterly results with improved profitability. Continued strong performance across our operations despite the challenging business climate. We had an organic order intake growth in both Q4 and the full year, which indicates a positive underlying demand, although it does vary between industries and regions. On the one hand, we're facing a weak market environment driven by increasing geopolitical instability. On the other hand, we own companies operating in sectors shaped by global megatrends such as energy efficiency, accessibility and automation, which provide strong prospects for growth going forward. I will comment more on the financial outcome more in detail later in this presentation. And finally, the acquisition activity has been quite high during the quarter. We signed an agreement to acquire Alstor to Latour Industries and divested 2 companies within Latour Industries Mobility division, AAT and Batec. In addition, Latour Future Solutions made a minority investment in NOAQ. It is rewarding to see that all the efforts of our M&A teams, both centrally and within our businesses are paying off. Summarizing the year, we have completed 7 acquisitions, adding SEK 1.8 billion in annual revenue, a solid foundation as we enter into 2026. And here, I would like quickly to hand over to Mikael to present our net asset value. So over to you, Mikael.
Mikael Albrektsson: Thank you very much, Johan. And if looking on the net asset value development during the year, we can conclude that it increased by 2.4% adjusted for dividends during the year and amounted to SEK 216 per share compared to SIXRX that increased by 12.7%. And the share price at the end of December was SEK 225, which means that there is a premium of 4% compared to how we present the net asset value. And as of yesterday, the net asset value was SEK 218 per share. And the share price on the same day closed at SEK 229, which gives a premium to our way of describing the net asset value of about 5%. The consolidated net debt decreased during the quarter from SEK 16.8 billion to SEK 15 billion, supported by a strong cash flow. And the net debt corresponds to about 10% of the market value of our investments, leaving headroom for further acquisitions going forward. And with that, I hand back over to you, Johan.
Johan Hjertonsson: Thank you, Mikael. And then we have the dividend here. We have a good profit development in our holdings and a strong financial position. So the Board of Directors proposes an increased dividend to SEK 5.10 per share, which is an increase of 10.9%. And the proposal is in line with the dividend policy, which you can see here on the slide. And thus, we have a strong historic trend of increased dividends, as you can see on this slide that shows at least the last 10 years. So if we move on then into the investment portfolio. So there's no major changes within the listed portfolio during the quarter. Earlier in the year, however, we increased our holdings in CTEK to 35.3%. And value development during the year was 1.2%, where SIXRX was 12.7%. Some of our holdings have shown weaker stock market performance, while others have been strong. Until yesterday, February 10, the portfolio value was SEK 89.2 billion, and the total returns amount to 1.4% so far this year. And the SIXRX was 5.4%. And if we go to the next slide, looking at the underlying performance, it is clear that the greater part of our holdings have demonstrated positive growth and profitability over the years, also especially the last couple of years that has been quite tough business-wise. The majority of our companies have reported the Q4 results and performance has been strong for most of them despite challenging market conditions. Geopolitical instability continues to affect the markets though the impact varies depending on market exposure and geographic presence. The acquisition activities are high in our listed holdings. And one example among several is Sweco, who acquired assar architects during the quarter, thereby strengthening its position even more in Belgium. And if we take the next slide, just to show a little bit longer perspective on our listed holdings. As Latour is a long-term owner, it is worth evaluating the total return of the listed portfolio from a longer perspective, as I said. And during the last 15 years, the total return amounts to about 600% compared to SIXRX that amounts to 350%. We see this as a confirmation that the holdings in our portfolio are contributing to the positive shareholder value creation. And then I would like to comment on the wholly owned operations. And the wholly owned operations ended the year with a very strong quarter. Order intake increased by 7%, of which 8% was organic and net sales increased 6%, of which 5% was organic. The organic growth indicates an underlying good demand for our companies, but the picture is mixed. The construction industry remains weak, for instance, with the Hultafors facing the toughest market conditions. At the same time, long-term drivers as energy efficiency, accessibility, automation support growth opportunity, benefiting companies like Swegon, Bemsiq and Innovalift. Caljan also reported solid underlying demand driven by major logistic customers and Nord-Lock Group has performed strongly throughout the year, supported by its global industrial exposure and an increasing focus on safety. We have good cost control and profitability is increasing in the quarter. The adjusted operating result for the quarter is record high with an operating margin of 15%. And then to comment our wholly owned business on the full year. And our businesses have navigated their operations well throughout the year in markets marked by the geopolitical disturbances that you all know. Total growth order intake was 13% and net sales 9%. Various growth initiatives, combined with currency headwinds have put pressure on the operating margin. The Q4 outcome, however, indicates that we are moving in the right direction and that our investments are paying off. Adjusted operating profit amounted to SEK 3.9 billion compared to SEK 3.8 billion the previous year, and the EBIT margin was 14% compared to 14.6% in the previous year. Lastly, a strong cash flow generation accounting to more than SEK 3.7 billion in positive cash flow. So a strong result, especially in a turbulent year, and we are very happy and proud for that. And if I go over and comment on our acquisitions during 2025. And during the quarter, Latour Industries signed the agreement to acquire Swedish Alstor, which I mentioned, which was finalized in January of this year. And Alstor is a provider of compact forestry machinery for thinning and forest management. And with this acquisition, Latour Industries is entering a new segment, the market for forestry equipment. Latour Industry also divested AAT and Batec during the quarter. And with that, they left the Mobility division. In addition, after the reporting period, Bemsiq within Latour Industries increased their services offer by the acquired Scandinavian Sealing based in Sweden. In total, this year, we have finalized -- in last year, I should say, we have finalized 7 acquisitions. Should we include the 2 acquisitions finalized in January of this year, the acquisitions during the year adds to more than SEK 2 billion in net sales on an annual basis. And we're very happy with our M&A performance as well during 2025. So having said that, I hand back to Mikael to comment on our 7 business areas. Over to you, Mikael.
Mikael Albrektsson: Thank you very much, Johan. And the regular fashion, we start by taking a closer look at Bemsiq Group. And Bemsiq had a continued good performance in the quarter. Order intake in line with last year, which is driven by both organic growth and acquisitions, although partly offset by negative currency effects. And the total organic growth in net sales was 12%, driven by the Building Automation division, while the Metering division is a bit slower. A strong performance overall, considering the challenging market within the real estate and construction industries. And the adjusted operating profit amounted to SEK 94 million with a good margin of 18.4%. And the margin was slightly negatively affected by growth initiatives ongoing and recent recruitments. With that said, we then turn the page and direct the focus towards Caljan. And order intake remained strong during the quarter, increasing by 20% when adjusting for currency effects, and the order backlog is at solid levels for the coming quarters. Caljan is now increasing the production capacity to meet the strong demand. Driven by the higher order intake during the year, net sales showed a very strong development in the quarter, growing organically by a very strong 38%. And the adjusted operating profit was very strong as well, amounting to SEK 109 million with an operating margin of 23.9%, which is a combination by good cost control, a strong gross margin and high volumes. With that said, we turn the page and take a look at Hultafors Group. And as Johan commented a bit earlier, the overall market conditions continues to be challenging for Hultafors Group, especially in North America. And the total net sales is organically down by 4% compared to the corresponding quarter last year. The profit margin is lower than last year, mainly due to a combination of long-term investments for future growth as well as lower volumes in the period. And the adjusted operating profit amounted to SEK 301 million with a margin of 16.8%, which is good under the circumstances. We then turn page and take a look at Innovalift. And for Innovalift, we saw order intake continue to grow, supported by acquisition and a very healthy organic growth. Total net sales grew by 37%, driven by both acquisition and organic growth and especially within the Components & Modernization segment as well as the direct service and sales segment. And the gross margin continues to improve step-by-step, and the cost controls remain strong, which allowed the operating profit -- the quarterly adjusted operating profit amounted to SEK 132 million with a margin of 13.8% and summarizes a very good year for Innovalift. With that, we turn the page and continue with Latour Industries. And Latour Industries business unit showed a mixed development with a sustained strong demand for REAC and MAXAGV while the remaining units faced somewhat softer market conditions. In total, order intake is growing organically by a strong 12% during the quarter. Net sales is down by 3% from last year, driven by REAC and LSAB. And the adjusted operating profit amounts to SEK 30 million with an operating margin of 6.4%. And the result is negatively affected by currency effects and the weak market climate as well as ongoing investment for future growth. And as we have commented, worth mentioning again, Latour Industries is currently -- has an under-absorption of the fixed cost on the central level following the distribution of Innovalift putting additional pressure on the margin for the time being. And as the heading of the picture states, the focus of Latour Industries continues to be on developing the existing holdings and to find new platform investments, which Tina will talk more about later in the presentation. And to briefly recap what Johan also had said earlier, the Mobility division was divested during the quarter and the acquisition of Alstor was signed in December and finalized in January. We then turn page again and take a look at Nord-Lock Group. That continues to develop strongly during the year and in quarter 4, despite the tough business climate, reporting growth across several metrics. Order intake grew organically by a strong 19% during the quarter. The net sales grew organically by a very healthy 10%, reaching an all-time high for a single quarter. All sales units contributed to the growth and the order backlog remains at solid levels going into the coming quarters. And the quarterly adjusted operating profit increased to SEK 139 million with a strong operating margin of 25.5% despite significant negative currency effects. But summarizing a very strong year for Nord-Lock Group overall. We then turn page again and look at our final business area, Swegon. And for Swegon, the market has stabilized somewhat during the quarter and order intake strengthened during the quarter and is up 10% organically from last year. Total net sales grew organically by 4%, driven by North America and the segment air handling, cooling and heating. Adjusted operating profit came in at SEK 307 million with a margin of 11.4%, supported by higher volumes and an improved margin. We can also once again comment that Andreas �rje Wellstam left his role as CEO of Swegon on February 1 and will assume the role of Chief Investment Officer of Latour in April. Very exciting and welcome back, Andreas, we say. And we can also comment that Eva Karlsson now is serving as Interim CEO for Swegon. So we want to take the opportunity to congratulate Eva to that appointment and wish you all the best in that position. And then to continue, we continue with the financial targets. And with that, I hand over back to you, Johan.
Johan Hjertonsson: Thank you, Mikael. Excellent. So our financial targets. During the last 12 months, we have had a growth of 8.7%, EBIT margin of 14% and return on operating capital of 13.9%. This is an outcome that we're pleased with. The targets are to be seen over a business cycle, and we have been in some time in recession for some time now and growth is driven by both acquisition and organic growth, but with strong currency headwinds. We had about SEK 900 million in negative headwinds on the top line in the quarter -- no, in the full year. EBIT margin is a good level and return on operating capital is satisfying. So -- and then I go to the next slide here before the Q&A. To summarize, 2025 have been yet another year marked by the global uncertainties affecting the business climate. However, we are pleased with the outcome, and we are entering 2026 with a strong order backlog and an organization well prepared to meet both opportunities and challenges. Latour is a long-term sustainable investment company and a responsible owner creating value for our shareholders. We are financially strong and continue to invest in our holdings, both existing and new ones to enable future growth and create value for our shareholders. We have a strong corporate culture that we treasure, which is of great value while we move forward in a volatile and rapidly changing world. So with that, I'd like to thank you listening in so far, and we open up for the first Q&A session here together with myself and Mikael.
Operator: [Operator Instructions] The next question comes from Linus Sigurdson from DNB Carnegie.
Linus Sigurdson: So my first question is on Hultafors and the margin profile. And I agree that 16.8% margin is definitely strong in the face of these headwinds. But could you just help us pick apart how much of this headwind comes from the FX and the negative volumes? And how much is these strategic growth investments that you're undertaking?
Johan Hjertonsson: I can start and then Mikael, maybe you can shed some more light on it. I think overall, on the full year on the industrial operations, it's about 3% negative headwind on the top line and about the same on the EBIT. So that translates to a little bit less than SEK 1 billion on the top line and some SEK 120 million to SEK 130 million on the EBIT in total. But then over to you, Mikael, if you want to comment a bit more specifically on Hultafors.
Mikael Albrektsson: No, I can just -- I mean, for Hultafors, I think, I mean, the important -- the most important driver for Hultafors per se is the volume that is -- we are very confident looking at underlying margins that when volume comes, the EBIT margin profile is where we want it to be for Hultafors specifically.
Linus Sigurdson: Okay. And then my second question is on Caljan since -- I mean, it's been a while, if ever, since we've seen sort of normal circumstances in this company. Should we think that this 20-plus EBIT margin level is reasonable to expect going forward if these market conditions persist?
Johan Hjertonsson: Yes, I agree with you, Linus. It's been really roller coaster ride with Caljan. That's a little bit -- one is the nature of the business. It's a very project-oriented business with a very large projects. But it's also a business that is exposed to heavy CapEx type of investments with new clients, right? And then thirdly, I'd like to say -- they had an extreme peak during the pandemic when e-commerce was booming and then they had the equivalent reverse downward trend when the pandemic was over because there were overinvestments in the logistics sector. And now those investments are coming back. So I would say that last year, you would see that a more normalized year. Of course, the growth numbers are a bit crazy because you compare to very low numbers in the year before in 2024. Margin-wise, I think Caljan is a company that should operate somewhere on 20-plus EBIT margin on everything else the same over a longer period.
Linus Sigurdson: Okay. And then my final question was on Swegon. I understand that volume growth is obviously a key driver here as well for margin improvements. But are there any other, say, notable actions that move the needle that you're taking in Swegon on the margin or cost side?
Johan Hjertonsson: We always work with optimizing our cost. On a positive note, we have seen strong growth and indications that the market has turned in Q4 for Swegon. So, hopefully, we will see a stronger growth going forward. And also as a general comment, I would like to say that Swegon is very nicely positioned in the area of energy efficiency and also there is an increased interest in a healthy indoor climate,. And that's exactly what Swegon works with. So that plays very well in that sense. Something you want to add, Mikael on the margin?
Mikael Albrektsson: No, not really. I think as you mentioned, Johan, the -- I mean, the increased demand for indoor air quality requires more advanced products, which plays well ahead for Swegon's offering and also that type of product is also more technology content typically offer healthy margins in that business as well.
Operator: There are no more phone questions at this time. So I hand the conference back to the speakers for any written questions.
Mikael Albrektsson: And we do not have any written questions in the activity feed. So I hand back to you, Johan.
Johan Hjertonsson: Thank you, Mikael. So that ends our first Q&A.
Johan Hjertonsson: Now into our new thing, we will, on our quarterly report presentations, do a quick deep dive into each business areas, and we will have a rolling schema coming up. And the first one is the Tina Hultkvist for Latour Industries. So I hand over to you, Tina, and I know that you have a presentation, and then the 3 of us will together take Q&A on Latour Industries after that. So over to you, Tina, please.
Tina Hultkvist: Thank you, Johan. So then moving into a deep dive of Latour Industries. Latour Industries is 1 of the 7 companies in Latour's wholly-owned portfolio. The main mission for Latour Industries is to build new company platforms. We are the home where good companies are young, grow as teenagers and ultimately move away becoming new company groups in the Latour wholly owned portfolio. Actually, 3 out of 6 sister companies have grown within Latour Industries and then moved out forming new company groups. And that's Nord-Lock, which was quite a few years ago, then Bemsiq and last Innovalift roughly 2 years ago. If combining us, around SEK 10 billion out of the current wholly owned operation of Latour comes from previous Latour Industries companies. Altogether, we've made around 60 acquisitions and stands for around 30% of the value of the wholly owned portfolio. And this is just to show how building the new platforms has played out over time, forming the SEK 10 billion. The gray part is the portfolio currently reported as Latour Industries. And within here, we continue nurturing companies that have the potential to form new platforms, and we also develop companies that may be more relevant on a stand-alone basis. So when Latour Industries as such is small, we are most successful because by then, we have most probably recently let one of our company groups move away from home, and our work starts all over again. So creating new business areas is our main mission. We do this by proactively establishing and nurturing contacts with good companies. This is an area we have strengthened the last 2 years. And of course, we also engage in structured processes as they come out. By active business development to support growth and add-on acquisitions, we take the steps towards forming a new business area. Guiding stars in the acquisition process is, of course, the Latour Investment criteria, focusing on acquiring good companies with good growth potential. As mentioned, we have intensified the actions in proactive deal sourcing lately and are spending quite some time in building and growing relations with good companies. The current portfolio we have is a quite wide range of companies. With respect of time, I will just mention the last 2 acquisitions, the most recent one then being Alstor. Alstor designs and manufactures compact forest machines for customers ranging all the way from professional players to self-employed forest owners. And then before that, it was MAXAGV and MAXAGV designs and manufactures automated guided vehicles, combined with in-house developed software solutions for various kinds of industrial use cases. So coming back to what Mikael showed, what you see on the 5-year perspective to the right is the development of the companies still within Latour Industries portfolio. The 2 new business areas built during those 5 years are excluded here and reported separately, but have, of course, been a major part of the efforts made within Latour Industries. We have a quite widespread operations in the portfolio and the performance differs between the companies that we have today. As you know, 2 companies that we had has been divested during the quarter. And in addition to that, the underlying demand is good in REAC and MAXAGV, but we are exposed to currency fluctuations, and we do have some headwind in other parts of the portfolio. When looking ahead, we are striving for a high level of acquisitions. Historically, the pace of platform builds has been around 2 platforms in roughly 5 years. And this is a quite good indicator of the pace that we are aiming for going forward. We hope this has given a clear view of who we are in Latour Industries and what our value for the Latour Group is. And with that, we open up for questions.
Johan Hjertonsson: Thank you, Tina, for an excellent and to the point and clear presentation. And therefore, we open up for the Q&A session with Tina and Mikael and myself.
Operator: [Operator Instructions] The next question comes from Linus Sigurdson from DNB Carnegie.
Linus Sigurdson: Hello again. Thank you for being on. I had 2 quick questions. The first one being, I mean, I understand, of course, that there's lower pressure on the companies within Latour Industries to sort of show immediate, say, profitability improvements, et cetera. But where do you draw the line where you would decide that you would divest a business in Latour Industries?
Johan Hjertonsson: It's a good question. I can take a first cut on that and then Mikael and Tina, please join in. I would say we have the same pressure expectation on Latour Industry companies as all our companies. But naturally, we take a slightly higher risk in parts of Latour Industries when we enter a new segment and so on. And it can also be that when we come into a new segment, we learn a lot about the segment and we learn about that industry and we see things we like, and then we continue and we build and we see that our initial hypothesis was correct. And sometimes we see that it was tougher than expected, and we see that maybe it doesn't fit us in that sense. And that you could see them in the Mobility division was an example where we said we can't add value. There's more other interesting opportunities and then we go up. So it's not that we have fixed EBIT margin that you come -- it's where we feel that this is not long-term viable in that sense, that's where we exit. You want to add to that, Tina or Mikael?
Tina Hultkvist: I think it's a good description. Maybe just adding there that we are, of course, very much looking into the potential also when looking at the profit. So where can we go with this kind of business. That's an important metric for us. And then to some extent, maybe we do have a little bit more patience also in developing the companies here within Latour Industries than what we usually have.
Johan Hjertonsson: And many of many -- if I can add to that, many of the Latour Industry companies are naturally slightly smaller in size. And therefore, Latour Industries has a very professional central overhead, if I may say so, to support them, to support and develop in terms of business development, M&A, strategy formulation and so on.
Linus Sigurdson: Okay. That's helpful. And then my second question was on if there are any sort of sectors or megatrends that you're actively working with currently, but that you don't have in the portfolio right now?
Johan Hjertonsson: Good -- very good question. Do you want to say something on that?
Tina Hultkvist: Of course, we are continuously looking into interesting sectors. And there were a few that we are maybe more interested in others. And let's see what happens with that. But I think we should not disclose that particularly here. But we are open to many new sectors as long as it is within the Latour investment criteria. So we are looking broadly, of course. And Latour Industries is the area where we can enter into completely new sectors. So that's why we are open to entering into anything new that is enough interesting and fits into the criteria.
Johan Hjertonsson: But I think we can mention Tina, one acquisition that we just did as an example of how we think is Alstor then in the forestry sector. And we have identified that the forestry sector is a very long-term globally interesting sector to be in. It's an under trend, so to speak, of the whole green thinking of more -- you will build more with wood and energy and all of that, that comes from our forest. And then also you know, Linus, that has followed us a long time. We are also looking for a company with good technology that has an international potential. And within the forestry sector, actually globally, Sweden and Finland are the technology leading countries in the forest industry sector. So obviously, then we start with one company, and now we will learn this sector in depth. And hopefully, we can make add-on acquisitions and build something interesting within that. So I think that's the way we think, and I think Alstor is a good example of that, right?
Operator: The next question comes from Oskar Lindstrom from Danske Bank.
Oskar Lindström: Yes. Just a quick question on the execution of acquisitions within Latour Industries and when you do acquisitions in your companies, are these the same M&A teams carrying out all of these acquisitions? Or does Latour Industries have its own dedicated M&A team? That's my question.
Johan Hjertonsson: Good question. It is a mix. We have Investment AB Latour has its own M&A team that works with many of our wholly owned businesses to help them with as internal consultants, you could also say, to help them with M&A. One of those business areas is Latour Industries. So Latour Industries draws its resources, so to speak, from the Latour team in that sense. Other business areas might also have their own M&A team. So the precise answer to your question, there is a mix between central team and the local teams, but they all work tightly together, of course.
Oskar Lindström: If I may, a follow-up question. When you look at acquisition targets for Latour Industries, are you actively thinking about businesses that could, in the future, be merged with your other wholly owned companies? Or is that not really part of the consideration when selecting acquisition targets?
Johan Hjertonsson: I can start and then, Mikael, if you want to comment. I think no, primarily, it is to find new areas. Obviously, Latour Industry will have a lot of inbound interesting cases, but they will be funneled directly to the other business areas where it's more appropriate in that sense. So we would not -- I think I understand your question. I think we would not buy something that we think would fit in Swegon and keep it in Latour Industries and then transfer it. Then we will ask for instance, to do the transaction directly. So Latour Industries is a transaction vehicle for the other business areas to be clear.
Oskar Lindström: Good. So it's like a stand-alone incubator, not an incubator for the other wholly owned company. Excellent.
Operator: There are no more phone questions at this time. So I hand the conference back to the speakers for any written questions and closing comments.
Mikael Albrektsson: Yes, we do not have any written questions in the feed. So I think that concludes then the final segment Q&A. And I hand over to you, Johan.
Johan Hjertonsson: Thank you, Mikael, and thank you, Tina, for this premier of an in-depth in one of our business areas. That was great. Tina, thank you for visiting us here on the call. And thank you, everybody, for listening in, and that concludes the complete presentation of the Q4 report and looking forward to talk to you and speak to you again when we have our Q1 presentation later on this year. So from Tina and from Mikael, thank you very much. Bye.